Operator: Welcome to Medicure's Earnings Conference Call for the Year Ended December 31, 2020, and quarter ended March 31, 2021. My name is Colin, and I'll be your conference operator for today's call. At this time, all participants are in listen-only mode. Before we proceed. I would like to remind everyone that this presentation contains forward-looking statements related to future results, events and expectations, which are made pursuant to the safe harbor provisions of the U.S. Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties, which could cause the Company's actual results to differ materially from those in the forward-looking statements. Such risks and uncertainties include among others those described in the company's most recent annual information form and Form 20-F. Later, we will conduct a question-and-answer session. Please note that this conference call is being recorded and today's date is May 11, 2021.  I would now like to turn the conference over to Dr. Albert Friesen, Chief Executive Officer of Medicure Inc. Please go ahead, Dr. Friesen.
Albert Friesen: Thank you, Colin, and good morning to all of you on the call. We appreciate your interest and participation in today's call. Joining me today in the call is our Chief Financial Officer, James Kinley; and President and Chief Operating Officer, Dr. Neil Owens. This morning we'll be discussing the year ending December 31, 2020, and the first quarter of 2021. The release as a financial statements for the year ending 2020 and the first quarter of 2021. We're so close that we decided to present them at the same call. COVID has provided challenges to a lot of businesses, including Medicure. Despite the challenges, we are delighted with positive trend of revenue and net income over the past few quarters. We experienced a modest but positive EBITDA for the first quarter of 2021. A positive change from the losses that had been reported in 2019 and the first half of 2020. The sales of AGGRASTAT have stabilized and we're pleased with the early stage performance of our December 2020 acquisition Marley Drug. One of the reasons we acquired Marley Drug, a mail order pharmacy was to expand our sales reach for ZYPITAMAG. The focus of our business is a sales and marketing of AGGRASTAT franchise and growing ZYPITAMAG business with more direct marketing to patients with the help of Marley Drug, as well as continuing the marketing to healthcare providers. The revenue for the first quarter of 2021 was $4.9 million, which is up substantially from the previous quarters, due mainly to the added revenue from Marley Drug. AGGRASTAT revenue of $2.63 million is similar to previous quarters, Marley was $2.1 million and ZYPITAMAG is $161,000. Medicure has transitioned away from the sales and marketing of the ReDS device, which reduced significantly operating costs expenses and associated losses while retaining value and are sensible medical investment. As mentioned, the main focus at present is on the sales and marketing of AGGRASTAT, ZYPITAMAG and further leveraging Marley Drug Pharmacy, which combined provide great margins and potential. We believe the past several quarters investments in our programs and onboarding of products will provide their growth, revenue and profits for the coming quarters and years. It takes time and persistence to make this a reality. Medicure has good cardiovascular product portfolio, a track record of growing sales and a great team with energy, talent and experience to build a strong growing company. Now before turning the call over to our Chief Financial Officer James Kinley, as we've reported he is taking new opportunity. I would like to express a special thank you for the hard work and many contributions to Medicure. James?
James Kinley: Thank you, Bert and good morning, everyone. A couple of quick items to note before I start. All dollar figures are in Canadian dollars unless otherwise noted by each presenter. And as a reminder, you can obtain a complete copy of our financial statements for the year ended December 31, 2020 and the quarter ended March 31, 2021 along with previous financial statements on the investors page of our website and a copy of all financial statements and management's discussion and analysis can be obtained from sedar.com. Starting with the 2020 annual results, revenues for 2020 total $11.6 million compared to $20.2 million from 2019. The decrease in revenues between the two years was primarily result of decreased AGGRASTAT revenues from $19.4 million in 2019 to $10.6 million in 2020. As a result of further generic sizing of the Integrilin market, which has created pricing pressures on AGGRASTAT, combined with lower hospital demand for the product including a reduction in procedures being performed as a result of COVID-19. ZYPITAMAG revenues increased to 453,000 for 2020, compared to 183,000 in 2019. The increase in revenues from ZYPITAMAG resulted from the increased demand in usage of the product experienced during 2020 as a result of the company's sales and marketing initiatives implemented since acquiring control of product. As a result of the acquisition of Marley Drug, which was completed on December 17, 2020, the company recorded revenue of 340,000 during the year ended December 31, 2020 pertaining to the Marley Drug in-store and mail order pharmaceutical business. Cost of goods sold decreased from $7.3 million in 2019 to $6.5 million in 2020. Selling expenses for 2020 totaled $5.4 million compared to $13.4 million for 2019 as a result of cost reductions implemented during late 2019 and throughout 2020, particularly as it relates to the sales and marketing costs associated with [breads], as well as decreases in costs as a result of limitations to conference and travel related costs due to COVID-19. Beginning with the acquisition of Marley Drug, which again was completed in December 2020. Costs associated with the Marley Drug business are included in selling costs for the year ended December 31, 2020. General and administrative expenses for 2020 increased to $4.6 million from $3.4 million in 2019. The increase in G&A expenses during 2020 when compared to 2019 primarily relate to higher legal costs associated with the company's patent challenge, which was settled in the fourth quarter of 2020 partially offset by cost reductions implemented by the company during late 2019 and throughout 2020. Research and development expenses totaled $3.3 million for 2020, compared to $4.3 million for 2019. The decrease experienced during 2020 is primarily a result of FDA refunds obtained by the company during 2020 resulting in a recovery of expenses of $677,000 pertaining to previously paid FDA fees, as well as reducing the quarterly expense going forward. And in addition to the timing of research and development expenditures, resulting in timing of each development project. During 2019, the company recorded a loss of $3.6 million as a result of the revaluation of the whole back receivable from the Apicore transaction, as well as an impairment loss on the intangible assets pertaining to ReDS of $6.3 million. There were no similar losses recorded during 2020. The company recorded finance income of $765,000 in 2020, compared to $1.1 million in 2019, and a foreign exchange gain of $497,000 in 2020 compared to a loss of $2.6 million in 2019. This resulted in a net loss for 2020 of $6.8 million or $0.64 per share compared to $19.8 million or $1.32 per share for 2019 due to the factors previously described. Adjusted EBITDA for 2020 was negative 3.9 million compared to adjusted EBITDA of negative 3.8 million for 2019. The changes primarily due to the [increase] in revenues and increased G&A expenses partially offset by decreases in selling expenses when compared to 2019. As of December 31, 2020, the company had cash totaling $2.7 million compared to $13 million as of December 31, 2019. The decline primarily related to cash spent to acquire the Marley Drug business in December 2020. As of December 31, 2020, the company had net working capital of 3.2 million compared to net working capital at December 31, 2019 of $19.7 million. Turning to the quarter ended March 31, 2021. Total revenue for Q1, 2021 was $4.9 million, compared to $3 million for Q1, 2020. Net revenues from AGGRASTAT for the quarter ended March 31 totaled $2.6 million consistent with net revenues from AGGRASTAT for the same quarter of 2020 of $2.7 million. The company earned net revenues from ZYPITAMAG for Q1, 2021 of $161,000 again consistent with revenues from Q1, 2020 of $163,000. The company continues to focus on ZYPITAMAG and expects revenue to grow through the remainder of 2021 and beyond. The company recorded revenue of $2.1 million during this three months ended March 31, 2021 pertaining to the Marley Drug in-store and mail order pharmaceutical business. There were no revenues recorded from ReDS during Q1, 2021 compared to $89,000 in the same quarter of 2020. And the company earned $49,000 of revenue from sodium nitroprusside or SNP during Q1, 2021 compared to $31,000 for the same quarter in 2020. Turning to cost of goods sold, AGGRASTAT cost of goods sold for Q1, 2021 totaled $670,000 compared to [$666,000] for Q1, 2020 and this resulted in gross margins for the quarter of approximately 74% a slight decrease from the approximately 76% margin for the same quarter in the prior year. ZYPITAMAG cost of goods sold for Q1, 2021 totaled $605,000 and included $28,000 related to products sold to customers $573,000 from amortization of the ZYPITAMAG intangible assets and $5,000 relating to royalties on the sale of ZYPITAMAG resulting from the acquisition of the product in September of 2019. Removal of the amortization would result in a strong gross margin from the product of approximately 80%. As a result of the acquisition of Marley Drug, the company recorded cost of goods sold of $602,000 during Q1, 2021 pertaining to the cost of products sold by Marley Drug and additionally SNP cost of goods sold during the quarter totaled $50,000. Selling expenses totaled 2.7 million for Q1, 2021 up from 2.1 million for Q1 of 2020. And the increase in selling expenses when compared to the same quarter in the prior year were primarily due to the acquisition of Marley Drug. General and administrative expenses totaled 585,000 for Q1, 2021, down from 800,000 from the same quarter in the prior year. The decrease in G&A expenses is primarily related to lower legal costs associated with the company's patent challenge, which was settled in the fourth quarter of 2020, as well as cost reductions implemented by the company during 2020. Research and development expenses for Q1, 2021 totaled 581,000 compared to 858,000 for Q1 of 2020. The decrease is primarily a result of FDA fees expense during Q1, 2020, which was subsequently refunded after the company obtained a waiver of these fees, as well as timing of research and development expenditures resulting in the -- from the timing of each development project. Medicure is in the process of developing additional cardiovascular products consistent with our research and development strategy to focus on low cost projects with higher probabilities for success. Now we don't expect our research and development costs to increase relative to this. The company recorded finance expense of 121,000 for Q1, 2021. This relates to accretion on the company's AGGRASTAT royalty obligation. ZYPITAMAG acquisition payable and on the company's contingent consideration, associated with the Marley Drug acquisition, as well as finance expense related to the company's lease obligations and bank charges. This compares the finance expense for Q1, 2020 of 73,000, which primarily related to accretion on the company's royalty obligation and the acquisition payable, lease obligations and bank charges partially offset by interest on cash held by the company. The company recorded a nominal foreign exchange loss during Q1, 2021 compared to a gain of 816,000 for Q1, 2020. The change relates to changes in the U.S. dollar exchange rate during the respective periods, which led to foreign exchange gains and losses as well as significant…a significant decrease in U.S. dollar cash balances held by the company. This results in a net loss for the quarter of $1 million or $0.10 per share compared to $1.5 million or $0.14 cents per share for Q1, 2020. The change in net loss is due to increased revenue and reduced general and administrative and research and development expenses partially offset by increased selling expenses and a reduction in foreign exchange gains experienced during the three months ended March 31, 2021. Adjusted EBITDA for Q1, 2021 was $31,000 compared to adjusted EBITDA of negative $1.3 million for Q1, 2020. The change is primarily due to the increase in revenues and decreased G&A and R&D expenses, again partially offset by increases in selling expenses. As of March 31, 2021, the company had cash totaling approximately 2.9 million compared to 2.7 million as of December 31, 2020. As of March 31, 2021, the company had net working capital of 3.1 million compared to net working capital at December 31, 2020 of 3.2 million. The company does not have any debt recorded on that statement of financial position. However, we're in the process of finalizing a loan with a commercial bank to replenish the cash expended through the Marley acquisition. I want to remind you, there'll be an opportunity at the end of today's call for you to ask questions regarding the financial results and the company as a whole. And with that, I'd like to turn the call over to our President and Chief Operating Officer, Dr. Neil Owens for some additional commentary regarding our operations.
Neil Owens: Thank you, James. And good morning, everyone. The COVID-19 pandemic continues to have an impact on businesses worldwide, especially in the healthcare industry. For Medicure, all meetings with health care professionals continue to be virtual. This has required adjustments by Medicure sales team, but also has resulted in reduced selling costs. Generally prescribers are receptive to video meeting. This has been a greater impact on meeting with interventional cardiologists regarding AGGRASTAT in a hospital setting compared to meeting with primary care providers regarding ZYPITAMAG. There have been no disruptions to manufacturing or distribution and Medicure continues to have normal supply of AGGRASTAT and ZYPITAMAG. AGGRASTAT has seen consistent monthly demand since April 2020 and remains the preferred glycoprotein IIb/IIIa inhibitor in more than 1200 U.S. hospitals. However, price competition from generic Eptifibatide has led to a decrease in net selling price of AGGRASTAT in order to maintain market share. In Q4, 2020 Medicure announced the settlements of a patent infringement action that led to the acknowledgement that Medicure’s 60 patent is valid, enforceable and infringed. The settlement of the litigation protects the AGGRASTAT brand and its intellectual property. We continue to make selective investments in AGGRASTAT including clinical research that we believe will help expand the market. We look forward to soon presenting the results of the SAVI-PCI study, which demonstrates the clinical and safety profile of using AGGRASTAT with a shortened infusion. We think this study will provide important evidence to support use of AGGRASTAT and patients who require protection from ischemic events while limiting risk of bleeding. We thank this joint committee for their efforts and contributions and the seeing the study through to completion and publication. In Q1, we announced the early completion of the investigator sponsored study iSPASM which was a randomized double blind Phase I/IIa trial aimed at assessing the safety of AGGRASTAT administered over a seven-day period for a treatment of a type of stroke called aneurysm or subarachnoid hemorrhage. The trial was led by Dr. David Hasan at the University of Iowa, and the study results were recently accepted for publication in a journal stroke. The results paved the way for a Phase II trial focused on efficacy in this clinical space for which AGGRASTAT does not currently have an approved indication. Turning to another significant development, Medicure was pleased to announce the acquisition of Marley Drug on December 17, 2020. It is a pharmacy located in North Carolina with national distribution of prescription medications known for its excellent customer service, home delivery and very competitive prices. Medicure drug -- sorry Marley Drug has been successful in marketing directly to consumers, providing access to medications without the need for insurance and building a nationwide customer base of more than 30,000. One of the key aspects of marketing products through Marley Drug and part of the appeal for the acquisition and addition to an existing customer sales base is it is truly an innovative approach. Three Marley branded products can be accessible to all customers, or they can avoid requirements of insurance companies or step through the therapy prior authorizations and no requirements of a co-pay discount card. It is also very appealing for healthcare providers who pay overhead for processing insurance claims. And the reaction to the simplicity and certainty of billing ZYPITAMAG prescriptions through Marley has been extremely positive. The addition of Marley Drug brings more than 20 experienced staff who fill over 100,000 prescriptions per year. Sales through Q1 have remained consistent with previous quarters and with an expanded marketing approach are expected to grow. Marley provides simplicity uncertainty or access to ZYPITAMAG. We are already seeing double-digit growth in sales month-of-month and our sales and marketing team is pushing hard to continue that trend. We continue to focus on adding new prescribers, new patients and having a high refill base. Through Q4, 2020, and into Q1, 2021, we increased our focus on digital and social media advertising to consumers to explain the benefits of ZYPITAMAG over other [statin] and its accessibility in terms of price and on delivery. Our team remains motivated and driven to increase sales and fulfils a ZYPITAMAG’s market potential. We continue to evaluate branded products and products with high market share potential to add to Medicure's product portfolio and those that would align well with our focus and contacts in U.S. market, especially those that can be sold through Marley Drug. In terms of our generic products, the sales of sodium nitroprusside increased through the end of 2020 and into Q1. Medicaure continues to develop additional cardiovascular abbreviated new drug applications or ANDA for in-hospital use. However, the regulatory review process has resulted in a delay and approval of one of our ANDA due to deficiencies reported in Medicure’s contracted manufacturing partner. Medicure is working with its partner on resolving these issues to obtain necessary approvals. In Q4, 2020, Medicure announced the filing of an IND or pivotal Phase III study defines the first FDA approved therapy for patients with PNPO deficiency, which is a rare paediatric disease leading to seizures and is ultimately fatal if untreated. It’s successful use of Medicure's legacy product MC-1 could lead to a priority review voucher, which can be redeemed to obtain priority review for any subsequent marketing application. In summary, although there have been challenges presented by COVID-19, remains significant opportunity for AGGRASTAT, ZYPITAMAG and Marley Drug because of control spending, we are pleased to report small positive EBITDA in Q1. Our team wants our investors to know that we are driven and dedicated to growing revenue, and making Medicure a long-term success. As noted, James will be moving on to another opportunity. And I'd like to thank James for his contributions, and we wish him the very best. With that I'd like to turn the call back to Dr. Friesen for final comments.
Albert Friesen: Thank you, Neil. 2019 was a year in transition with a sales and marketing focus on two products, which were added in 2018 for diversification to our main cardiovascular drug AGGRASTAT there's considerable learning. 2020 as a drive to reduce investment losses and further learning the marketing of ZYPITAMAG. This learning led us to the acquisition of Marley Drug as a more efficient way to provide a great product at a very affordable price. We're thankful for AGGRASTAT in additional cardio assets and the addition of Marley Drug a mail order specialty pharmacy. We continue to focus on growing the business with a pipeline of cardiovascular products that will further diversify our revenue and asset base, carefully investing to grow our future profitability. My goal, the goal of our team, the goal of our board, management, staff, is to continue to build this business with a stable long-term outlook to generating value for our shareholders. And as always, I want to express my appreciation to the outstanding team of employees we have been blessed with. Thank you, our shareholders for your continued support and interest. And Colin, I'll turn it back to you to lead us to the Q&A. Thank you.
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. [Operator Instructions].One moment for your first question. Okay, so your first question comes from a Kurt Caramanidis from Carl M. Hennig Inc. Kurt, please go ahead.
Kurt Caramanidis: Thank you. You guys talked about some other businesses that might be interested in Marley. And I'm just wondering if you could expand on different opportunities, although we've been ramping sales, which obviously is positive but other opportunities from Marley?
Albert Friesen: I can add a little bit of color to that. I think in terms of other companies or other products being marketed through Marley Drug. I believe that was the question. It's been interesting to see the response from other companies because they also have branded products that they feel like have a lot of market potential. But the struggle to actually been that that market share or at least work through the [indiscernible]. So we actually are continuing our discussions with other companies. We think that there are definitely opportunities to work with them on marketing new product. And I think the success we've had so far with Marley in terms of the response from providers gives us a good leverage point in terms of negotiation with them. So I think it's still pretty early to say exactly what that partnership would look like. But we have been approached by multiple companies and continue discussing with them.
Kurt Caramanidis: You [used] something in 2021 or is that maybe not even till next year?
Albert Friesen: It's hard to say, Dr. Owens did a good job of describing the interest. But in negotiating agreement, we've learned in the past that sometimes it change over rapidly in weeks and months, like we did with Marley, sometimes it can take a year or two. So it's hard to predict. I understand you're interested in knowing but we're pursuing a number of that. And it's hard to say what the time is going to do.
Kurt Caramanidis: Okay, great, good. Good to know there's that opportunity. Do you see sales trajectory throughout the year, because of – it’s Marley ramping through the year. Is there seasonality, how do you kind of see, do you see as [exiting] a whole lot of 5 million run rate? Do you see as [exiting] the year at 5.5 million, 6 million or just kind of in general how should we look at the quarters as you're building through the year?
Albert Friesen: Again Kurt, I understand the interest. But we have – it’s been practice not to provide guidance. We -- as we said in our report, we do believe that there will be growth, the growth is hard to predict with where there are -- prediction that there is growth is because we've seen even in the first few months, a little bit of growth and a lot of interest. So if that interest does translate to sales, we see a steady growth over the year.
Kurt Caramanidis: Okay. And then in my right in thinking that you've got real good leverage to the bottom line, as your sales increased with the margin profile does that make sense?
Albert Friesen: Yes, as we describe the -- the margins on these products are high 70%, 80%. Not so much on the generics. Although [indiscernible] some of the generics Marley Drug are very high. And it depends which product it is. But one of the reasons ReDS is a great product. We -- reason -- one of the reasons we dropped it there was that -- it was a ticket marketing push cost us money. But the margins weren't there. And so what we've focused on is trying to keep our eye on the ball of making money and profit. And so looking at higher margin products, three that we're focusing on now are very good margin.
Kurt Caramanidis: Okay, great. And finally, are you be able to measure your advertising? You're doing targeted, like micro advertising? How are you feeling about that? Are you able to measure with the advertising for Marley in the ZYPITAMAG and that kind of thing?
Albert Friesen: Yes, we can track and measure the return on ad spend through multiple channels. As you may have heard, Marley actually has a call centre as part of their teams that we actually get a lot of direct customer calls. And it's one of the ways that we can actually track quite a different marketing spend through different channels as to tie it back to the original ad. But it also gives us pretty great insight into their response to being able to order through Marley either for ZYPITAMAG or other products, which helps us kind of tune our marketing. So the -- there is a combination of different approaches we're taking and that that we can all trap either digitally or actually just listening to them how did they hear about Marley? And how did they hear about ZYPITAMAG. Interestingly, we do get calls from customers but also physicians and other pharmacists who are interested in Marley.
Kurt Caramanidis: Okay, great. I appreciate it. I'm sorry, I thought of one more that PNPO deficiency drugs. Can you give us kind of a timeline on that voucher what kind of timeline where you might know if things go well, when you might get that voucher or not. Is that the yielding of [indiscernible] what do you thinking there?
Albert Friesen: Again, it's hard to predict Kurt but the trial itself with this 12-month treatment. So -- and we expect to start shortly. So I would say probably a two-year kind of window. At the time you roll – get enrollment going and then doing the analysis and submission.
Kurt Caramanidis: Great, thank you guys. Appreciate it. Look forward to the coming quarters.
Albert Friesen: Thank you.
James Kinley: Thanks.
Operator: Your next question comes from Sam Rebotsky from SER Asset Management. Sam, please go ahead.
Sam Rebotsky: Yes. Good morning, Bert.
Albert Friesen: Good morning.
Sam Rebotsky: I am surprised to see, I looked at my records. I've been involved since 2004. And I'm interested in knowing what's going on with reliable the Indian company. And do you have something you could do with India with the COVID? Is there anything that you thought of doing there?
Albert Friesen: Not really. Thanks, Sam. We're -- we have a relationship and agreement with Reliance Life Sciences. A large a large one -- Reliance is the largest Indian company. And we certainly feel for them, they are going through a credible difficult time where they communicate with them on a reasonably regular basis. But in terms of your -- if your question is, do we have a COVID focus? No. Now we have mentioned COVID, which you probably remember that there were some physicians they were using AGGRASTAT to inhibit the clots that sometimes are associated with COVID. And it is very effective. It's a small number of patients that were treated, but the cost of getting that label for AGGRASTAT would be very expensive and take a long time. And so we didn't see it as our immediate commercial opportunity. Now, having said that, some physicians will be using AGGRASTAT for that treatment on their own as a physician directed treatment. So but that we don't see that as a big market opportunity.
Sam Rebotsky: And as far as, are you are looking to raise some funds, do you have $1 amount and with the -- your account could financial gentlemen leaving, who are you working with to raise funds?
Albert Friesen: We're not raising funds for equity, but we are -- we do have -- are working on our bank line. So a bank rate -- interest rate and that is just to replenish some of the cash that we had. So it'll be less than the -- probably less than 8 million we spent, but something to increase our working capital of it. So it's a bank loan.
Sam Rebotsky: Okay. And the drug company, pharmacy, there seems to be some smaller pharmacies that are raising funds in New York, do you see the expansion or a basis for expanding your pharmacy?
Albert Friesen: We look at the – I mean we --- the pharmacy that we acquired has several advantages with doctor owns they describe fairly well. And that is enables patients to buy very easily at a very low price. And it bypasses the cost of the PBMs and insurance at least people think because they have insurance they have a lower cost but there are many examples where even coverage costs you more with co-pays with minimus and where your insurance runs out and you're now end up paying more money for drugs. The approach that we're using with Marley Drug is a very low cost the lowest cost right to patient, mail order you get your prescription within to 48 hours mailed to your house, the doctor's convenience that process is a huge opportunity for us and I think will be a revolutionary change in the U.S. And that's what we're doing -- we're looking towards building on with the existing Marley Drug operation. And others are seeing it. But in conferences where Dr. Owens has participated, the industry is starting to recognisz Medicure's leadership in this area and the huge opportunity.
Sam Rebotsky: And what amount of your purchase of the companies that you have bought is there -- are you using a brokerage firm to find a business for you? And has the company bought any stock in the open market? And what is the nature or size of stock that anybody has bought?
Albert Friesen: Okay, there's two questions one is we have the normal course issuer bid. We've pretty much purchased that. There might be a little bit left. I'm not sure. And so we haven't bought recently because we've had this reporting and then blackout. So that's -- we haven't purchased more recently, but we have purchased in this year, I believe --
James Kinley: Not in 2021.
Albert Friesen: So 2020…
James Kinley: I think there's about 100,000 left that we can buy under the normal course issuer bid.
Albert Friesen: The other question you asked is, do we use a broker? While the broker approached us? So we don't have an agent that works for us. But there are agencies that have approached us about potential opportunities.
Sam Rebotsky: Has the offices -- are is the period open to for the offices to buy stock in the open market? Is that allowable? And if it is, when is that?
Albert Friesen: Well, I don't know when the blackout is going to come out. But we have some other transactions that we're looking at. But we -- It's hard to predict when a blackout will come out.
Sam Rebotsky: Okay. Well, since being the stockholder since 2004, the size of my investment has increased pretty significantly. And I think we would be nice to show some positive results as is going on now. Good luck, Bert.
Albert Friesen: Thank you, Sam. Appreciate your interest and your support.
Sam Rebotsky: Okay, thank you.
Operator: [Operator Instructions]. Okay, it appears there are no further questions at this time. Please proceed.
Albert Friesen: Thank you, again all on the call. We appreciate your interest and we look forward to sharing next quarter's results as the -- in the coming months. Thanks again, wish you all the best safe, be safe and well.
Operator: Ladies and gentlemen, this concludes your conference call for today. And we thank you for participating and ask that you please disconnect your lines.